Operator: Good morning. My name is Rob and I will be your conference operator today. At this time, I would like to welcome everyone to the Home Capital Group Fourth Quarter 2021 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Jill MacRae, Head of Investor Relations. You may begin your conference.
Jill Macrae: Thank you, Rob. Good morning, everyone and thank you for joining us today. Our agenda for today's presentation is as follows. We'll begin the call with remarks from Yousry Bissada, Home's President and CEO, Brad Kotush, our CFO will then review our financial performance, which will be followed by a question-and-answer period for participants. We have a few members of our senior management team with us on the call to help answer your questions.  On behalf of those speaking today, I note that this call may contain forward-looking statements and that actual results could differ materially from forecast, projections or conclusions in these statements. Please refer to our advisory on forward-looking statements on Page 2 of the presentation. I would also remind listeners that Home uses non - GAAP financial measures to arrive at adjusted results. And the management will be referring to both reported and adjusted results in their remarks. I'd now like to turn the call over to Yousry Bissada.
Yousry Bissada: Good morning and thank you for joining us today for our 2021 Fourth Quarter and Full Year Results Conference Call. In addition to our results, I will also spend some time talking about what we see ahead of us in 2022. Let me start with what we announced today. We reported fully diluted net income per share of $4.78 in 2021, an increase of 44% over 2020. This is the second straight year that we've reported year-over-year earnings growth above 40%.  We achieved the 15.1% return on equity. We are pleased to announce the initiation of a regular quarterly common share dividend in the amount of $0.15 per share. We grew our mortgage originations by 27% year-over-year to nearly $8.9 billion. Of that Alt-A mortgages were $6.3 billion, an all-time record. Brad will share more details on the above. Over the last four years, we have delivered consistent increases in our earnings and our return on equity as shown on Slide four. Our share price performance during that time is the highest of any of the base. On the capital front, we returned over $360 million to shareholders through our share repurchases, including our $300 million substantial issuer bid completed at the end of December.  In total, we left at 8.9 million shares during the year or about 1/6 of all the shares that were outstanding at the beginning of 2021. Looking back, 2021 was an eventful year. Once again, we began the year based with uncertainty due to COVID. But this time, informed and strengthened by our earlier experiences, we entered 2021 with confidence. This is because medical science had introduced vaccine that promise to make normal business operations possible. We had an even better understanding of the ways COVID has impacted the housing market.  We knew how important it is for people to have the opportunity to buy and keep their homes. Our people have shown themselves to be capable and resilient in the face of constantly changing working conditions. Each of our business units rose to the challenge of a volatile year, starting with our sales and underwriting teams. They worked hard throughout the year and delivered compressive volume growth while staying within our risk appetite. That included a return to pre -pandemic underwriting conditions and all areas by mid-July. They delivered the quality of service that our broker partners have come to expect from us.  At Investor Day, we shared information about how we value our broker partners and work with them. Our deposits and funding teams were equally active. Deposits through our Oaken channel grew by more than 10% during the year and now make up over 31% of our overall total deposits. We returned to the RMBS market with [Indiscernible] offerings totaling 765 million. We added a whole loan sale program for insured mortgages with a range of financial counterparties and participated in a bank sponsored securitization conduit.  Our IT team implemented the transformation of our core mortgage banking system. We launched a mobile banking app for our Oaken customers and upgraded the functionality of our Loft platform for better engagement with our broker partners. We are continuing to find ways to use robotic process automation to perform repetitive tasks. The benefits of Ignite our internal multi-system upgrades are not just process efficiencies, but an improvement in the type of work we're able to perform. Including the quality of engagement with our brokers and customers. Our HR team led us in adapting to a virtual work from home to a hybrid work from the office.  And back to virtual work from home. Pivoting in our work environment has become the new norm. Even with these challenges, we want a number of best workplace awards, including best place for hybrid work this week we want. We are proud of our home and of our culture. And, we welcomed Betty DeVita as a new Director. Betty's years of experience in banking and payments maker are valuable assets to our bard. On our leadership fronts, we added bench strength. In January of this year, we welcomed Brian Leland as EVP underwriting. Brian comes to us with over 20 years’ experience in all aspects of building and growing residential mortgage teams.  He started his career at Home Capital and we are pleased to welcome him back. We also welcome Mike Henry, as our EVP of Digital and strategy, as a senior executive with more than 25 years at a major bank, Mike brings strategic and deep financial service experience to our team. As we look ahead, we have reasons for optimism in 2022 as well. The housing market is starting 2022, the way ended in 2021 with strong demand supported by low interest rates, growing consumer savings, and intergenerational support. Interest rates are still low, but are rising and expected to increase through the year.  We're not too concerned at this point of what the impact on credit quality from rising rates because of the cushion from the B20 stress test along with our own prudent underwriting criteria. It is likely that higher rates will reduce, but not eliminate demand for home ownership. The impact of rising rates on affordability can also be mitigated by buyers changing the location or the size of their home purchase. We believe that the mortgage broker community is best suited to help Canadians understand the impact of these changes. Demand for home ownership is still strong and it will be supported by growing immigration numbers, our growing cohort of millennials buying their first homes, and a return to employment growth.  As working conditions evolve, we could see more transactions driven by changing [Indiscernible] needs. Our funding teams expanded our funding capabilities and have just issued our latest RMBS offering. That happening from growing investor interest in this attractive instruments. On our capital strategy, we are on track. Following the completion of our SIB in December, we're announcing today that the TSX has approved our application for normal course issuer bid. This will make the strategic share repurchases throughout the year as we work towards our stated target CET1 capital ratio of 14% to 15%.  We have a track record of success in this method of delivering value to our shareholders. In mid-2017, the company had over 80 million shares outstanding. As of December 31, 2021, we had flat back more than 37 million or over 45% of shares outstanding. Together with our strong operating performance, buybacks have been a key component of our shareholder value proposition. 2021 was a year in which Canadians continued to show how much they value home ownership. And here at Home we're dedicated to helping them achieve it. Despite the changes in working conditions brought about by the path of the variance.  We were consistent in our focus of serving our business partners, responding to the needs of our customers, and meeting our financial objectives and supporting our employees. In 2022, we are starting the year with a strong market, a strong capital base, and engaged group of employees, and a strong leadership team. We're ready to convey meaningful benefits to all our stakeholders while delivering value to our shareholders. I will now invite Brad to discuss our financial results.
Brad Kotush: Thank you, Yousry, and good morning, everyone. Starting on Slide seven this morning, we reported net income of $52.7 million and diluted earnings of $1.4 per share for the fourth quarter of 2021. Adjusting for items related to our Ignite program, net income for the quarter was $53.7 million or $1.6 per share. This will be the final quarter that we will be adjusting our reported results in relation to our Ignite program as a draws to a close in 2022. Full year 2021 earnings were $244.7 million or $478 per share. Our reported earnings per share increased by 43% over 2020, continuing our trend of delivering strong growth and earnings per share throughout a volatile period for the economy and the housing market.  Book value per share, as shown on Slide eight, grew by 12.7% year-over-year to $36.55 and a return on equity was 12.4% during the quarter and 15.1% for the full year. Once again, we generated double-digit return on equity despite carrying significant capital above our target range for most of the year. Following the conclusion of our substantial issuer bid at the end of 2021, we ended the year with 18.43% in CET1 capital, moving closer to our target range up 14% to 15%. Slide nine shows the factors contributing to our growth in earnings per share for the full year.  Our net interest margin was 2.56% for the year compared with 2.6% in 2020, the year-over-year increase in NIM is mainly due to lower funding costs and added $0.26 to our earnings growth, somewhat offset by a decrease in non-interest income. Reduction in non-interest expense added a further $0.19. Overall, pre -tax pre -provision net income increased by 10% over 2020. Looking at provisions, the change from our provisions expense in 2020 to a recovery of credit provisions added $0.94 to earnings per share. A 3% reduction in the number of average shares outstanding during the year contributed $0.13.  Our expectation based on our current outlook for interest rates, asset mix, and competition with other lenders is that there will be a decrease in our net interest margin in 2022 and the impact on non-interest-- net interest income will be offset by higher loan balances. Looking at our lending operations on slide 10 origination in our single-family residential portfolio grew by 52% in the fourth quarter, at 44% for the year. Commercial originations on Slide 9 increase in the fourth quarter, but decreased during the year. Commercial originations got off to a slow start in Q1 and Q2, partly due to pandemic underwriting conditions and planned reductions in some loan categories, but increased in every successive quarter.  We're feeling positive about the opportunities in commercial lending in 2022. As of the end of the year, single-family residential loans on balance sheet had increased by 8% to $16.2 billion through the robust origination volume and retention efforts. Commercial on-balance sheet loans declined to $1.8 billion with the largest year-over-year reduction in exposure to retail stores. Deposits gathered through our Oaken channel grew by more than 10% during 2021 and make up more than 31% of our total deposit funding. Significantly, deposits gathered through deposit brokers decreased year-over-year as we were able to diversify our funding sources. Oaken savings account were just under 24% of total Oaken deposits at the end of the year.  We expect the percentage of demand deposits to decrease as higher interest rates make term instruments more attractive. And as a reopening of retail, entertainment and travel options, give customers more outlets to spend the cash balances they've built up during pandemic restrictions. We are getting good customer response to our digital banking app and look forward to further continuous agile enhancements to this app. During the year, Home made significant progress in our objective of diversifying our funding base.  We executed whole loan sales of our insured mortgages with several financial counterparties, participated in a bank sponsored securitization conduit, and completed two successful cross-border offerings of residential mortgage-backed securities. In 2022, our funding initiatives are gaining momentum. We have doubled the size of securitization conduit to $500 million and it will be an effective source of funding for our Classic mortgages. We have just priced the first RMBS offering of 2022, the A - traunch of $425 million. It was priced at 2.63% and is expected to close on February 23rd. We continue to see strong credit performance in Q4, even while the Omicron variant added uncertainty to the outlook for economic recovery. The base case inputs to our economic model is showing an improvement employment through the year and modest appreciation in housing prices.  After reporting reversals of credit provisions for the first three quarters of the year, we had provisions for credit losses of about $1 million in the fourth quarter or two basis points of gross loans on an annualized basis. There was a modest reversal and provisions on impaired loans identified as Stage 3 and a provision of $1.3 million in our loans designated as Stage 1 and Stage 2 in both our single-family residential and our commercial loan portfolios. Going forward, we expect credit provisions on both our retail and commercial performance portfolios to be similar to pre -pandemic levels. Net write-offs for the year were $0.6 million or less than one basis points of gross loans. Looking at the full year, we booked a reversal of credit provisions on Stage 3 loans totaling $10.3 million and a provision reversal of $23.4 million on performing loans for a total of $33.7 million.  This was due to the impact of an improvement in the forward-looking economic models used to estimate credit losses, loan repayments, and a lower balance of loans in Stage 3. Slide 16 shows details of our allowance coverage. Total allowance for credit losses was $36.5 million at the end of 2021, which is a decrease of 48% from the total of $70.8 million one year earlier. Approximately 80% of the allowance is attributable to Stage 1 and Stage 2 loans. Allowance coverage of non-performing loans increased to 22.8% as of December 31st. Turning to Slide 17, we've provided details of our non-performing loans by business line, our credit quality continues to be strong, reflecting a steady improvement from previous quarters.  Net non-performing loans at the end of the year have declined substantially in both dollars and percentage terms, and now represent only 13 basis points of our total loans outstanding. This is a credit to our sales and underwriting teams and to the risk culture of the company as a whole. We concluded a $300 million substantial issuer bid at the end of the year. For the full year, Home repurchased $8.9 million shares at an average price of $41.13 per share through the SIB and NCIB. We ended with a CET capital ratio of 18.43%, which is still above our stated target range. The renewed normal course issuer bid that Yousry referred to will allow us to repurchase up to approximately 3.7 million shares as part of our program to reach our target capital range.  The dividend that we announced today is another way of delivering value to shareholders. We have said consistently that we would introduce a common share dividend when it made sense. Having made material progress toward our target capital ratio, the board and management believes that the company and its shareholders would benefit from a regular quarterly dividend. The initial dividend is set at $0.15 per share payable on March 31, 2022 to shareholders of record as of March 15, 2022.  This payout is sustainable with potential for growth over time. The Board review its capital strategy on an ongoing basis, and will look at all opportunities to achieve a CET1 within our stated target range by the end of the year. And now I will ask the Operator to poll for questions.
Operator: At this time, I would like to remind everyone in order to ask a question, [Operator Instructions]. We'll pause for just a moment to compile the Q&A roster. And your first question comes from the line of Etienne Ricard from BMO Capital Markets. Your line is open.
Etienne Ricard: Thank you, and good morning.
Yousry Bissada: Morning.
Etienne Ricard: So the 2022 outlook is guiding towards declining non-interest margins. First, are you expecting non-interest margin increases relative to Q4 or annual 2021 levels. And second, is the focus on capturing higher origination volumes aimed at gaining market share? In other words, what do you estimate your current market share to being relative to your target levels of?
Yousry Bissada: Sorry again, go ahead [Indiscernible], I'll answer first and then Brad Kotush might add just on the market share. It's not to gain market share, it is just as a rate increase, as Canada's increase, deposits react very quickly, mortgage rates react a little slower. Their competitive reasons is why people try to get more just someone had to lead. And as that happens, you get deposit rates going up and mortgage is lagging somewhat.  That's what causes that. It's not so much the markets rate, we're typically been the highest rates in the Alt-A area and competitive in the [Indiscernible] area. So we would expect to maintain that. So if interest rates go up quickly, you have to reset mortgages quickly. If we go up slowly, it's much more manageable. The reverse happens in other environments. When rates go down, mortgages are the last to go down and it widens spreads for all lenders. Brad?
Brad Kotush: Specific answer to your question is off of the Q4 NIM that we reported. And what's been happening is what we have seen in our market is that the rise in the overall deposit costs, which is based typically up the government curves, has increased and we haven't seen behavior rate increases. There has been a very significant volume of origination. So to stay competitive and relevant, we can only raise rates so much. We have. We considered to have been leading the way in rate increases this quarter. And the path that we see is certainly the announcement to Bank of Canada expects to raise rates. We saw rates go up on the curve, 10 basis points so what's offsetting the decrease in NIM is really record originations in our classic business. We're seeing substantial loan growth and based on our estimates on what we know for the year -- projecting for the year. Even if NIM decreases we'll achieve the same level of net interest income.
Etienne Ricard: Great. Thank you. And so I guess as a follow-up, when would you expect mortgage rates to start increasing and match the increase in deposit costs?
Yousry Bissada: I think that's a process that's going to take time. What I can say is we have raised rates and we'll continue to raise rates to match increase in deposits. What happened was there was probably around 2.5 months to 3-month lag and matching those increases. So we're playing a bit of catch-up and I think that's something that we've consistently said in relation to Alt-A where it takes some time for rates to move and it does appear as the competition in the market is also looking to gain market share. But based on what we know, we are a price leader in terms of moving up mortgage rates. And we have to adapt to those circumstances and to continue to remain relevant to our customers and mortgage brokers.
Etienne Ricard: Okay. And from the funding side, we've talked about Oaken and RMBS issuances in the past. As we look into 2022, could you remind us of your priorities as it relates to driving cost of funding improvement.
Yousry Bissada: Well, we will continue. We showed great progress in diversifying our funding sources. We're going to continue to not have and we didn't mention in our call that we have just pricing RPS. We expect to continue to be programmatic issuer is subject to market conditions. We issued the RMBS in a particularly volatile market. And what we hope is at some of the uncertainties related to backers outside of our control that are happening in the broader world. Will what we all hope is none of those issues manifest themselves and that we're more stable market.  So again, we're looking at further ABCP conduits and other RPS issuance to the extent that we could explore the market for deposit notes, we worked towards that. We're really trying to access all sources of funding. And again, part of our whole loan sale program is to make sure that it's effective on creating value. So we need to see some increase in spreads on our accelerator mortgages to really get back into that program. But we do see a lot of potential.
Etienne Ricard: Thank you for your comments.
Operator: Your next question comes from the line of Jaeme Gloyn from National Bank Financial. Your line is open.
Jaeme Gloyn: Yes. Thanks. First question I wanted to just get into the thought process behind this sizing the dividend and how should we think about that dividend going forward? Is this something that you would seek to increase quarterly, semi-annually, annually, maybe a little bit more color around the strategy for the dividend.
Brad Kotush: Sure, Jaeme. Our strategy is to keep it consistent for the year. However, that may change subject to circumstances and those circumstances would probably be more bias to an increase. But we fully expect to keep it constant for this year based on the decisions that were made by the board at its most recent meeting. And there is also an expectation that we will be increasing that on an annual basis. So that's our current plan on reviewing the level of common share dividend. And it's going to be based on what we think is happening in terms of book growth, market conditions, and all the other factors that you would expect upward to consider in making a decision related to a recurring dividend.
Jaeme Gloyn: Okay. Great. But -- and then on the factors that went into sizing the dividend, it looks to me like it's at the low double-digits percentage basis on our payout ratio versus EPS. So what led you to start with that level of a payout ratio or any other considerations that were factored into the decision?
Yousry Bissada: Well, we still think that our shares are undervalued, so we're going to buy them back and are devoting capital to those sorts of repurchases but we did think it was the appropriate time to start a recurring dividend. So that's why we picked a relatively low payout ratio. Historically, the company paid between 20% to 25% when it was not. I think there were a couple of NCIBs and SIBs, but primarily most of the return on capital was done through dividends. The head that that's probably a place that we will get to.
Jaeme Gloyn: Okay. Great. Yeah. That's fair enough. The Ignite program for Ignite cost expenses, it seems like it's extending a couple of quarters. I believe your previous guidance was I would wrap up in Q2 22 now it seems like it's going to go through all of 2022. Can you give us a little bit more details as to why extending what other initiatives might have been added to the program or what's causing delays? Little more detail on not place.
Yousry Bissada: Yes. Sure James, we think we have -- we still think it's going to be done midway through the year, so we gave the impression that it was going to be a full year, but I'd saying it would end in 2022. I'll correct that now. We think it's going to be largely complete in the first half of the year. And why we're saying we're not going to be reporting adjusted earnings anymore. It's the more meaningful aspects of it to give a look at the underlying business, which was a purpose for reporting the adjusted earnings aren't really relevant in looking at it.
Jaeme Gloyn: Okay, great. So from the first question, it sounds like the guidance or the expectation for 2022 is that net interest income on a dollar basis should be pretty flat in 2022 versus 2021 given some of the NIM decline guidance overall. Is that a fair characterization for net interest income? And then I have some follow-ups just in terms of the movements within that.
Yousry Bissada: I think that's right Jaeme, based on what we know today, there is a lot of things that can change over time, but that's our current thinking. And the components of that are really working through getting back to the mean in terms of spread over deposits that has been compressed. And as I said earlier, we are -- we have been leading with price increases so far this quarter and will continue to work towards getting back to the historical levels of spread on classic originations.
Jaeme Gloyn: Okay. And then -- so in terms of how you're going to market, can you elaborate on the pricing strategy or what goes in -- what factors into how you're pricing the mortgages? Are you targeting a specific Are you targeting a specific ROE outcome? What are the inputs and drivers of determining the [Indiscernible] rate?
Yousry Bissada: Hi, Jim, its Yousry. Yeah, ultimately, we are driving towards the ROE targets, which subsection is NIM, which its subsection is to spread obviously between deposits and mortgages. This is a very normal thing when interest rates are going up, is that deposits reset quickly, Government counter bonds reset instantly, deposits reset almost right away, and then it's the mortgages that lag. As we've said, we are leaders in stretching it, we want to get back to normal, the slower interest rates move up, the faster we can get to the mean between mortgage and deposits.  But as they -- you can go up today and then tomorrow deposits go up again then you've got another increase. So we will -- I assume we're going to probably lead the way of trying to get the spreads to normal, and we'll get there. It's just how fast that happens. So yes, ultimately driven by our already -- ultimate driven by NIM, there's a whole bunch of metrics behind what it should be and how fast we can get ourselves there.
Jaeme Gloyn: Right. And is the ROE, are we -- are you pricing to a ROE target of 15%, 16%? What is that ROE target or tool mark that you're looking to achieve in any deal?
Yousry Bissada: Well, our goal team has mid-teens or early, that will move around, but 15 is a goal of ours. And we achieved it this year and we will certainly work towards achieving it in 2022. But there's a whole bunch of work that we have to do to get there this year including managing the spread on classic originations and as a reminder, it is competitive, so we need to be relevant and we can't simply wave a warrant ourselves to move the market, but we're definitely trying.
Jaeme Gloyn: Got it, and last one for me
Jill Macrae: Jaeme, I am going to have to ask you to re-queue Jaeme because there's people in the queue and we will pick you up at the end if that's all right.
Operator: Your next question comes from the line of Nigel D'Souza from Veritas Investment Research. Your line is open.
Nigel D’Souza: Thank you. Good morning. I just had a couple of quick questions on your margins here. I noticed that there was a decline quarter-over-quarter. It seems to have been largely driven by single a family residential mortgages and a lower yield there. Is that -- I think I heard you correctly, is that just mainly driven by the new originations in the quarter at a lower rate? Could you provide some color on what drove the decline?
Brad Kotush: That is the primary reason is the originations coming in at lower spreads. Our retention is -- rates are working relatively well in terms of our expectations, but that is the case.
Nigel D’Souza: Okay, great. And just on term to posits, if I could maybe get some insights on the pricing dynamics in the rising rate environment. I think you mentioned that rising rates are attractive from a market dynamic standpoint for your term deposit funding. But in terms of pricing, compared to lower rate term deposits on the market. Does this spread between your term rates and the competitive term rates narrow in a rising rate environment, is it maintained? Could you just set some color on how the pricing dynamics might play out?
Brad Kotush: When we look at our pricing we do have competitive pressure, certainly on the broker deposit, but in relation to Oaken and others when we evaluate how we're doing, we look at how we're doing based off the spread of a government curve.
Nigel D’Souza: Okay, that's helpful. And if I could just pivot quickly to capital. When I look at your current capital level, if you -- assuming you action that NCIB, that still doesn't get you to your 14% to 15% CET1 target range. And then even with the dividend payout, you're still going to have some internal capital generation. So do you have any comment on what bridges the final remaining excess capital from where we might end up to your target range over the next year?
Brad Kotush: You're right, there is a gap to get there. Part of it is going to be filled with what we think will or what we're thinking is broken our balance sheet and risk-weighted assets so that's going to absorb some of that. And when we get closer to the end of the year, we'll evaluate whether it makes sense to retain capital to fund future growth or look at higher rate dividends in the next year. What we're really trying to do is work toward the range in the best way that's going to create value for shareholders. And looking at it now, we'll know as we progress throughout the year, what the best alternative would be, for example, one could be -- another choice to be another substantial issuer bid. And that's a potential to get there relatively quickly with one transaction.
Nigel D’Souza: Okay, and one last quick question. Any comments on the decision of deciding to pursue NCIB versus an SIB. When I look at your current share price is below the average SIB purchase price that you recently completed. So is there a rationale that makes NCIB more attractive in the current environment or how do you think about that?
Brad Kotush: Well, I think we have a good opportunity to utilize the NCIB and the ability to have a more discretionary aspect to when we're repurchasing shares and not having to pay the premium on an SIB led us to maximum an NCIB over immediately putting together another SIB.
Nigel D’Souza: Great. That's helpful. That's it from me. Thank you.
Operator: Your next question comes from the line of Graham Ryding from TD Securities. Your line is open.
Graham Ryding: Good morning. Just appreciate the color on the offset. The lower NIM but higher loan growth. You think net interest income hopefully will be flat in 2022. Just wondering what sort of loan growth are you targeting for 2022? What do you think have been capable of getting your outlook?
Brad Kotush: We're capable of close to 20%
Graham Ryding: 20% loan growth?
Brad Kotush: Yes. Our LUA.
Graham Ryding: Okay. It's a pretty material increase from, I think you did 5% this year. Well, what drives that uptake?
Brad Kotush: Originations, continuing high-growth originations in our Classic portfolio, residential portfolio, and commercial portfolio, and retention.
Graham Ryding: Okay. And the -- you obviously even talked about some spread compression on the Classic side of this, what about in the commercial side? Are you seeing any spread compression there or NIM is holding out okay on that side of your business?
Brad Kotush: There has been a little, but not to the extent on the residential side.
Yousry Bissada: That's more because commercial price deal-by-deal whereas single-family, you price it and a whole bunch of deals are [Indiscernible].
Graham Ryding: Got it, understood. And then my last, your commercial impairments, any color behind what was behind that?
Brad Kotush: No, it's just there are individual loans of size so if anything moves in any of those you're going to show a change. We consider ourselves to be very well provided and looking at the trend over the year, we've shown a substantial reduction in those provision, so it's not unexpected that we [Indiscernible] some variability or volatility there.
Graham Ryding: That's it for me. Thank you.
Operator: And we have a follow-up question from the line of Jaeme Gloyn from National Bank Financial. Your line is open.
Jaeme Gloyn: Yeah. Thank you.
Jill Macrae: Welcome back Jaeme.
Jaeme Gloyn: Thank you. I just wanted to dig into the I guess the 2 main sub sectors of the then forecasts. So we did the -- we completed the RMBS -- latest RMBS transaction. Can you compare the spread on that transaction? So mortgage rates versus the cost of that RMBS deal versus the previous deals and is that going to be accretive to the spread on securitized assets or diluted?
Brad Kotush: It may be slightly diluted, but again, over time, we'll see where our overall rates move. Because as you know, the RMBS is an amortizing facilities, so depending on the renewals in there, it may turn out to be attractive long-term funding forest chain. We really do like the RMBS as a funding mechanism, we issued it in at a pretty volatile environment. So the spread over the curve was higher on this transaction than our last transaction that I think has been based on our what we've heard in the market as the spreads have on these types of vehicles have expanded. So we did the last one at 85 over and that's what was done at 105 over.
Jaeme Gloyn: Okay. So it's still tighter than the one prior to that. But I guess the bottom line is there's some dilution on the securitized side, but the biggest NIM pressure is going to be coming from non - securitized loans in 2022. Now, going back to Graham's question about the 20% loan growth forecast, or I don't know if it was a forecast or it was a capacity question, so maybe just a little bit of clarity. Is that what you're baking in for providing that guidance of flat NII? Is that you will have 20% loan growth overall? And how do you think about breaking that down between single-family residential mortgages and non - resi commercial mortgages or other products?
Brad Kotush: I think right now we're comfortable with saying that overall level of growth and that level of net interest income.
Jaeme Gloyn: Okay. Great. I think that's it for me. Thank you.
Operator: Your next question comes from the line of Nigel D’Souza from Veritas Investment Research. Your line is open.
Nigel D’Souza: Thanks for taking me and my follow-up. I wanted to touch on another dynamic in a rising rate environment and I was wondering if you could expand on how sensitive the retention rates are in the rising rate environment. I know the interplay between the prime space and the near-prime space where your mortgage book. So maybe you could color that in the context of between a 100 basis points or 200 basis points increase, how meaningful of a difference does that make to retention?
Yousry Bissada: We think -- Sorry, no, go ahead. In retention it's a little bit different. It's a little bit stickier in a rising rate environment, people would have to re-qualify under a higher rate elsewhere. So they are here -- you mentioned people who are moving from [Indiscernible], that's a little more competitive on the renewal side. And we're getting better and better at offering our own multi-clients in A to keep them. So it generally drives higher retention.
Nigel D’Souza: Generally, So I assume the higher retention rate assumption is baked into your loan growth outlook as well; is that fair?
Yousry Bissada: Yes.
Nigel D’Souza: Okay. That's it for me. Thank you.
Operator: Our next question comes from the line of Steven Bolan from Raymond James. Your line is open.
Steven Bolan: Thanks. Just a quick question. Just in terms of borrowing behavior, have you seen any change in demand for different lengths of mortgages? Now that -- with the anticipation of rates moving up, of things moved out, more demand for fixed, anything like that in terms of borrower behavior.
Yousry Bissada: Yeah. Hi, Steve, its Yousry. A little bit. We've seen typically an Alt-A client will take a one-year mortgage because they believe they might be an A in the year or want to see the circumstances later. We're seeing a bit of shift to two and even three years on Alt-A. On the A side, five years is the most common term, and that continues to be the same.
Steven Bolan: Okay. And just second, what is the -- sorry. You mentioned that you have been adjusting rates, LTV s, things of that sort. Can you just give a little bit more color in terms of geography, loan-to-value, adjustments that you've had, especially, I guess, [Indiscernible] where the markets are pretty [Indiscernible].
Yousry Bissada: I don't know. Steve, if you're referring to the -- when initially the lockdown came in 2020, we pulled back in certain areas and we pulled back certain loan-to-values. But in mid-2021, we were back to our normal loan-to-values. In fact, since July 2021 we added areas that we loaned, we've added FSAs that we've lent to, so we've expanded as the dynamics are shifting and where people are buying homes, they're actually redefining where major urban centers are. So we're just -- we look at that, we study it exhaustively to look at liquidity to understand the market, and then when we get comfortable we expand. Today, we are lending more than we would have last year, and certainly more than we would have in 2020 and back to our full risk appetite adjustments of LTB, which is generally up to 80% on Oaken.
Steven Bolan: So again, you're not concerned with the rising average prices especially in the GTA like that. You're still comfortable with your levels.
Yousry Bissada: We're comfortable because in our risk appetite, the first thing is we qualify the borrower what they want to borrow irrespective of LTV that has to check before we look at the LTV and the prices and so on. So. get comfortable that that person can carry that mortgage first so that gives us a lot and we have to be comfortable of the certainty on the income in the term of the mortgage. That being the first check that has to pass, then we look at the loan-to-value and what the appraisal is.
Steven Bolan: Okay. Thanks, Cedric. Okay.
Operator: Again, [Operator Instructions]. And there are no further questions at this time, Yousry Bissada, I turn the call back over to you for some closing remarks.
Yousry Bissada: Thank you, Rob. As you can see, we're moving forward with a lot of momentum in all our business areas. We'll continue to execute our strategy to grow business while returning capital to our shareholders through our NCIB and common share data. Thank you all for attending and we look forward to speaking with you again soon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Please wait. The conference will begin shortly.